Operator: Hello everyone, and welcome to the Planet Fitness Q1 2022 Quarterly Earnings Call. My name is [Seth] [ph], and I will be the operator for your call today. [Operator Instructions] I will now hand the floor over to Stacey Caravella to begin, please go ahead.
Stacey Caravella: Thank you, operator, and good morning, everyone. Speaking on today's call will be Planet Fitness' Chief Executive Officer, Chris Rondeau; and Chief Financial Officer, Tom Fitzgerald. We also have Dorvin Lively, President of Planet Fitness here, who will be available for questions during the Q&A session following the prepared remarks. Today's call is being webcast live and recorded for replay. Before I turn the call over to Chris, I would like to remind everyone that the language on forward-looking statements included in our earnings release, also applies to our comments made during the call. Our release can be found on our website, investor.planetfitness.com, along with any reconciliation of non-GAAP financial measures mentioned on the call with their corresponding GAAP measures. Now, I will turn the call over to Chris.
Chris Rondeau: Thank you, Stacey, and thank you, everyone, for joining us for Planet Fitness’ Q1 earnings call. We remain extremely bullish on the long-term growth opportunities for our brand in business for many reasons, led by the tailwinds behind health and wellness in our appeal millennials and Gen Z’s. Despite continuing to operate in a fluid environment, we set an all-time record high member count, ended the first quarter with 16.21 million numbers. We also added 37 new stores, a nearly 30% increase over Q1 2021, bringing our total worldwide club count to 2,291 locations. Like many businesses, we were impacted by the ups and downs of consumer sentiment around COVID-19 during the first quarter. The Omicron variant led to a softness in our January join trend, compared to pre-pandemic levels. This was not surprising given that the. US Census Bureau estimated that approximately 14 million Americans were directly or indirectly impacted by the virus at some point during the month. Omicron also impacted usage. In January, it slipped below the 90% index in 2019 that we had most of last year. Higher member usage historically corresponds with higher join activity. But as the quarter progressed, both joined and usage rebounded and while our net membership growth for February and March this year outpaced 2019, it wasn't enough to make up for January softness. However, by the end of the quarter approximately 30% of our [indiscernible] stores hit their pre-pandemic membership levels. In the final week of Q1, usage was back above the 90% index in 2019. We continue to see that people who are working out are doing so more frequently. The regions that are hard hit by COVID restrictions, Mid-Atlantic, Northeast and West, all achieved visit frequency highs since the start of the pandemic. Both Gen Z and millennials also hit post-pandemic visit frequency highs, and baby boomers who have been slower than the other generation had the highest usage in March since COVID. As we’ve mentioned on our fourth quarter call, we experienced some challenges with our national and local marketing and advertising agency consolidation efforts. Our franchisees now have three agencies to choose from to handle their local advertising. [Indiscernible] in two of our previous [indiscernible] local agencies. We believe that the long-term benefits from the consolidation of agencies outweighed from near-term disruption. We announced yesterday that Chief Marketing Officer, Jeremy Tucker is no longer with Planet Fitness. We appreciate his contributions to the brand and wish him the best to his future endeavors. We are beginning the search for his replacement. Throughout the past two years, of the pandemic, we’ve learned to be nimble and resilient. This resulted in our single permanent closure of a Planet Fitness store due to the pandemic, which is very different than how the industry fared, while more than 25% of the U.S. gyms are now permanently closed. And hopefully the worst of the pandemic is behind us, as the world begins learn to live with the virus. Looking to the future, I'm confident that we will continue to be a differentiated and disruptive force in the health and wellness industry. We offer what people need now, more than ever for both physical and mental wellness, a high quality affordable fitness experience in a welcoming non-intimidating environment. We are focused on two main growth strategies. First, driving system-wide same store sales in both membership growth and prices. And second, continued store expansion in broad range of markets. Let me start with driving same store sales. Gen Z was the fastest growing demographic group of our membership in 2021, bringing our total share of that generation who are over the age 15 to nearly 8%, which is exciting as only half of Gen Z’s are even [allowed] [ph] to join our gyms. And the research shows that Gen Z’s like millennials, prioritize an active lifestyle more so than previous generations. We are focused on building lifelong brand royalty with both generations who capitalize on our appeal to these group. Which is why we are excited about the upcoming launch of the high school summer pass. It's a rebranded version of the team summer channel program rebranded in 2019, where high school [age teens] [ph] could work out for free in all of our stores all summer long. The program resulted in nearly one million team participants and more than 11% of those teams are members today. And we’re bringing it back for after two-year [indiscernible], making the sign-up process even more seamless. Teens can register online if they're under the age of 18, parents or guardians can later on give their consent. We believe High School Summer Pass is extremely timely and incredibly important given the alarming teen mental health crisis in the U.S. According to the Journal of American Medical Association, less than 15% of teens met the recommended daily physical activity guidance during the pandemic. While teens screen time doubled from pre-COVID estimates, not including virtual learning. We recently commissioned a national study and found that a majority of teens who exercise also agree that physical fitness makes them feel healthier, stronger, and happier. Almost half of the team has admitted that they struggled with mental health for the first time to pandemic. To help address this issue, we're offering teens a chance to stay active during the [indiscernible] and perhaps introduced them to a life-long commitment to their overall health. It's also an opportunity to introduce their parents to our brand if they are not already members. We [must be] [ph] the fitness brand people think of first in the rate which were healthy active lifestyle. We understand that fitness can be intimidating and we're focused on breaking down the barriers for all ages. In fact, more than 5% of the parents who joined Teen Summer Challenge program are still numbers today. Our pricing model is another way that we are disruptive force in the fitness industry. And it was a key driver of our [indiscernible] straight quarters of positive comps prior to the pandemic. For just $10 per month, our standard membership offers access to high-quality cardio and strength equipment in our judgment-free environment. And while we predominantly advertise our standard membership, 6 out of 10 people who joined Planet Fitness purchased the Black Card membership, which is more than twice the price. We launched a Black Card pricing test in summer of 2021 in about 100 stores. The test was successful across key metrics such as acquisition rates, retention, average monthly dues per member and margin. Beginning this month, the new price from Black Card is 24.99 for all new joins. I've always said, we won't raise price without adding value for our members. Since the last price increase in 2019, a new Black Card membership now includes, access to an additional 400 plus stores with reciprocity being our number one use Black Card amenity. Access to premium digital content via our PF+ platform in our app and always expanding Perks program. We believe there is tremendous untapped opportunity for our brand long-term in the U.S. to get people off the couch. Within 10 miles of the current Planet Fitness store, there are approximately 140 million people almost that joined a gym, but did not belong to any gym. A fewer competitors due to significant industry consolidation, we believe that perhaps our 4,000 store potential in the U.S. maybe be the floor and not ceiling for store growth. We're also doing the groundwork from Spanish outside the U.S. where the majority of the countries have much lower gym membership penetration. To this end, we announced this morning that we signed an agreement to bring their Planet Fitness branch to New Zealand, where [80%]] of the population doesn't belong to [the agenda] [ph]. The agreement is for a minimum of 25 locations over the next several years. We believe we have the right local team in place to replicate the success we're seeing in Australia, where our growing fleet of clubs are performing very well since they reopened last year. We recently opened our first stores in Mexico under the new development agreement we signed last summer for at least 80 new stores over the next five years. Nearly 97% of the Mexican population doesn't have a gym membership in a country where more than 70% of the people consider overweight. Our high quality affordable and welcoming fitness experience appears to be resonating. The first new stores membership [comp] [ph] day one far exceeded that of a typical U.S. store opening day. It's hard to believe that this year marks the 30th anniversary for the Planet Fitness Brand. This milestone is very personal for me. I joined the company one-year after it was founded, working the first store [indiscernible]. As our brand has grown, so too is our ability and opportunity to help people be healthier physically, which leads to be healthier mentally. With COVID, we’ve seen firsthand a repercussion of not prioritizing our mental and physical illness. It highlighted the importance of access to fitness centers once overall health. We believe that fitness is essential and that our industry is a key part to today’s healthcare delivery system. I'll now turn the call over to Tom.
Tom Fitzgerald: Thanks, Chris and good morning everyone. During the first quarter, we completed the acquisition of one of our best performing franchisees, Sunshine Fitness, as well as a successful refinancing and upsizing of a portion of our debt. We believe that the acquisition strengthens our powerful business model by enhancing our corporate store team and diversifying the geographic profile of our corporate-owned stores. And with the refinancing, we locked in low fixed rates on a significant portion of our debt before the inflationary environment began in earnest. Now, I will cover our Q1 results and then I'll discuss more details on the Sunshine Fitness acquisition. All of my comments regarding our first quarter performance will be comparing Q1 2022 to Q1 of last year unless otherwise noted. It's important to note that we completed the Sunshine deal in mid-February. Therefore, our first quarter results only reflect 1.5 months of the financial impact from the acquisition. We opened 37 new stores, compared to 22 last year. We had positive same-store sales growth of 15.9% in the first quarter. Franchise same store sales grew 15.8% and our corporate same store sales increased 17.0%. Same store sales growth from the Sunshine Stores is included in system-wide same store sales and partially affected franchisee same store sales in the quarter.  Sunshine Stores were only included in franchise same store sales for January. And will not be reflected in corporate owned same store sales until February of 2023, but they will continue to be reflected in system-wide same store sales. This is consistent with how we have treated prior acquisitions. Approximately 80% of our Q1 comp increase was driven by net number growth with the balance being rate growth. At the end of the quarter, approximately 30% of our mature stores have fully rebounded to their pre-COVID membership levels and in aggregate, membership per-mature store is only down 6% from pre-COVID levels. Member growth contributed more to system-wide same store sales this quarter than it has historically as we were comping over to press membership count from COVID. The rate growth was driven by a 180 basis point increase in our Black Card penetration to 63%. For the first quarter, total revenue was 186.7 million, compared to 111.9 million. The increase was driven by revenue growth across all three segments. A 26% increase in franchise segment revenue was due to same store sales growth, new stores, and stores were open this year that were temporarily closed last year. Partially offsetting the royalty revenue increase was a decrease of approximately 1.6 million, as a result of the 114 stores acquired in the Sunshine Fitness transaction, moving from the franchise segment to the corporate-owned segment. For the first quarter, the average royalty rate was 6.4%, up from 6.3%. The 100% increase in revenue in the corporate-owned store segment was driven by the Sunshine Fitness transaction, as well as new store openings, the cycling of temporary store closures in the prior year period in same store sales growth. The equipment segment revenue increase of 206% was driven by higher equipment sales to new and existing franchisee-owned stores. For the quarter, replacement equipment accounted for about 40% of total equipment revenue and we completed 33 new store placements in the quarter versus 18 last year. Our cost of revenue, which primarily writes to the cost of equipment sales to franchise-owned stores amounted to 22.4 million, compared to 8 million. Store operations expenses, which relate to our corporate-owned store segment increased to 47.5 million from 25.9 million, primarily due to the additional stores from the Sunshine acquisition. SG&A for the quarter was 30.8 million compared to 22.5 million. About half of the increase in SG&A in the quarter was non-recurring expenses related directly to the transaction. I will address the ongoing impact to SG&A from the deal later on. National advertising fund expense was 14.5 million, compared to 12.8 million. Net income was 18.4 million. Adjusted net income was 29.0 million, and adjusted net income per diluted share was $0.32. Adjusted EBITDA was 77.3 million, compared to 43.7 million. A reconciliation of adjusted EBITDA to GAAP net income can be found in the earnings release. By segment, franchise adjusted EBITDA was 58.1 million, corporate storage adjusted EBITDA was 25.4 million and equipment adjusted EBITDA was 8.7 million. Now turning to the balance sheet. As of March 31, 2022, we had total cash and cash equivalents of 536.7 million, compared to 603.9 million on December 31, 2021. This was comprised of cash and cash equivalents of 471.2 million, compared to 545.9 million with 65.5 million and 58.0 million of restricted cash respectively in each period. Total long-term debt excluding deferred financing costs was 2.0 billion as of March 31, 2022. Consisting of our four tranches of fixed rate securitized debt that carries a blended interest rate of 4.0%. And given the increase in interest rates, yesterday we paid off the $75 million variable funding notes. Now, to the financial impacts from the Sunshine Fitness acquisition. On April 26, as required by the SEC, we filed an 8-K with pro forma financial statements showing our fiscal year 2021 results as if we acquired the Sunshine Fitness stores as of January 1, 2021. I'll walk through the changes on our income statement using the pro forma results in the 8-K to explain the shifts in our financials as a result of the transaction. Starting with the changes to 2021 revenue. First, there was a decrease of approximately 14.6 million to franchise revenue. The majority of which was driven by the royalties that Sunshine Stores generated along with some web join fees and equipment placement fees. [NAV] [ph] revenue decreased approximately 3 million and equipment revenue decreased approximately $10 million inclusive of the margin we make in that segment. Conversely, we benefited from an approximately $172 million increase to corporate-owned store revenue. The end result of all these changes was an approximately $145 million increase to our 2021 net revenue. On the expense side, our cost of revenue decreased without the Sunshine equipment purchases. Store operations expense increased approximately $80 million, which is fairly close to what our historical store OpEx was in 2021 given they had a similar number of stores. SG&A increased approximately $12 million, reflecting our assumption of their support center expenses, including the management team, staff to support critical functions like marketing and store development, along with the President of our Corporate Store, Shane McGuiness. Additionally, there was an increase of approximately 60 million to depreciation and amortization. Half the increase was due to depreciation, which is primarily related to the doubling of our corporate store fleet as we are also doubling our historical corporate store CapEx spend. The other half is amortization expense from Sunshine’s intangible assets.  D&A increased significantly given the size of this acquisition, compared to the ones we've done in the past. And the pro forma D&A expenses in-line with our 2022 guidance that it would double. Finally, to our 2022 outlook. We reiterated our guidance for 2022 in our press release this morning. As a reminder, our view for 2022 assumes there is no material resurgence of COVID that causes member disruptions whether via shutdowns or more stringent mandates that result in a significant change in membership behaviors. The two things to note on our outlook, first, our system-wide same store sales growth will likely be higher in Q1 with the depressed membership levels in Q1 last year, combined with the unseasonable membership join trends last year, where Q2 had more net member growth than Q1 for the first time in our history. This will make the compares for same store sales more difficult in the coming quarters. Second, regarding expenses, as I outlined in the 2021 pro forma results, the addition of Shane McGuiness and his team added approximately $12 million to SG&A last year. For 2022, Sunshine support center cost impacted our SG&A in Q1 for only 6 of the 12 weeks, and therefore, will have an increased impact in the subsequent quarters. The near-term continues to be fluid with the pandemics ongoing impact on consumer sentiment. However, we believe we are well-positioned for the long-term to further expand our leading market share given the strength of our value proposition in the fitness industry, as well as the resilience of our asset light business model. I'll now turn the call back to the operator to open it up for Q&A.
Operator: Thank you. [Operator Instructions] The first question today comes from Randy Konik from Jefferies. Please go ahead.
Randy Konik: Hey, good morning. I guess this question is more for Chris, to start here. Chris, I just wanted, you know, a lot of the data we track around traffic trends, web traffic searches, etcetera, continue to point towards in-person fitness coming back. Peloton results are out this morning. They look, kind of sub-par. Just wanted to get your thoughts on where we continue to see things or what you expect to head for at-home versus in-person? And then get an update from you on what you're seeing around the mom and pop competitors, are those store closures in the gym side continuing or are they're stabilizing? Just want to get your thoughts on the competitive environment and the [mote] [ph] that you guys have and continue to build going forward?
Chris Rondeau: Sure Randy. Thanks and good morning. Yes, I think what we're seeing happened here today, Randy, you probably remember last year and a half unfortunately going through this pandemic is – and I haven't wavered from it is that in-person fitness has always been the key driver of health and wellness and home fitness has always really paid second fiddle to it. Maybe third fiddle in a lot of ways we're seeing today. And honestly, we even saw that in our content consumption. We were all closing down our gyms. Our content consumption in our app was used as an all-time high and we're seeing it today, not back to pre-COVID, but it certainly isn't anything close to where the consumption was when we are closed. And what we are though I would say the Gen Z population is joining a quite a bit higher than we've ever seen pre-COVID. They're joining just an astronomical rate, which is great to see, but they're active and studies show that they're equally as active as millennials have. And as you know, millennials have always been a big part of our member base, which is great. So, I think in home fitness’ we’ll continue to be the second fiddle and people are driving back to gyms. And the beauty of that is now with 25% of the industries permanently closed, and we didn't lose a single store, there's just less competitors, less opportunities except for us. And I think with recession here and in light here, and we saw this little bit in [indiscernible] and even back as far as the dot com bomb in 2000 when we only had four stores. But I think as a whole maybe there's less people [indiscernible] join gyms, but the issue is that the ones that are, are only looking at Planet Fitness, because they can afford it. Right. Or they're being more smart with their money. So, we evidently win in those times and some of our highest same store sales in the history were during the 2009, 2010 area. So, I think people aren't going to not be healthier as they are going to continue to choose it. They're going to be more cost conscious I think at the end of the day.
Randy Konik: Super helpful. And I guess one more question is, I want to kind of explore what you're doing around the perks side of the business, you added the [Crocs perk] [ph] in the quarter or just thereafter. And I just want to understand, kind of what's the strategy around there. You're adding more and more perks, they're more compelling. It would seem as if the member at some point realizes that the perks, kind of pay for the membership themselves. Just want to understand, kind of what the strategy is around the perk side of what you're doing there? Thanks.
Chris Rondeau: Yes. I think as you know, since you [indiscernible] IPO about half our members will use a store a thirty day period, right? And I think anyway we can add value for members even if they're not using the store, is a good thing because they are paying us every month and I think we should be offering them value in and out of the store. So the content is one part of that, the other part of it is, can we offer benefits for being a member that is even outside of fitness in some ways that can help them live a better life and discounts on gas, which in today's world is really meaningful, naturally. [Crocs] is – they're back. I didn't [indiscernible] back this much, but they’ve been a great launch and Gen Z’s are all over it. So, it's great to see that one is now in place. We did good in sunglasses in noon recently as well. So, I think now with the app built-in with the perks button and the platform that's been built, it's able for us to track a lot of click throughs and redemption rates, which previous to the app launch, which was in the summer of 2019 we really didn't have a depository with all our perks in it, and a way to track it. So, now it allows us to go to all other companies out there that we want to do a partnership with and showing them true data, which is hugely impressive. When you think about us right now, we have about 70% of all our members are on the app. All new members about 90% of our new members that downloaded the app and we're doing about roughly 8 million check-ins a week and about 6 million of those members are opening the app and open the app and check into the gym, that’s their barcode they see these perks. So, the amount of eyeballs that they get in front of is quite large. So, now that we have that data, it's opening the doors to a lot of vendors. And I think there'll be a lot more to come here. And I think back to your question again, we can give value when people having [indiscernible] in two or three months [indiscernible], but they're getting discounts on gas and [Crocs] [ph] would have you, it pays for the $10 membership some ways.
Randy Konik: Yes. Super helpful. Thanks guys.
Chris Rondeau: Thank you.
Operator: Our next question comes from Brian Harbour at Morgan Stanley. Please go ahead.
Brian Harbour: Good morning guys, thank you. In the second quarter, I understand, kind of your comment on same store sales, but in the second quarter, do you think there will still be somewhat atypical seasonality in terms of membership joins? Are you still seeing, kind of pent-up demand given that the first part of 1Q was a little bit slower just from a membership sign-up perspective?
Chris Rondeau: Sure, Brian. this is Chris and then I'll have Tom jump in as well. What we're seeing now is, more typical of historical years where the seasonality, I think is more on trend as opposed to what we saw last year. We're always saying the second quarter was better than first quarter. So, I don't think we'll see that necessarily this year, but Tom do you want to talk [indiscernible]?
Tom Fitzgerald: Yeah, Brian. I think in terms of the same store sales and we kind of hinted at this on the last call that given what we're anniversarying in terms of membership levels 2021 and then as you're pointing out last year, we really had very atypical growth across the quarters where we had more member growth in Q2 than we did in Q1 for the first time in our history. So, the comps compare will get tougher. And so, despite the 59, we're still sticking with our outlook of low double digit comps for the year. Still very strong. It just gets a little tougher as the compare to the last year gets more difficult across the rest of this year.
Brian Harbour: Okay, great. Thanks. And maybe be just a more detailed margin question. I noticed that equipment segment EBITDA margins were, kind of above history in the first quarter. Just curious if there any kind of one-time drivers of that? Do you think they'll kind of remain at that level or will they come back down to a more normal level?
Tom Fitzgerald: I think they are fairly in-line with the history. We've passed along our margin – the price increase that we've gotten from vendors. So, we're maintaining our margin. Some of that is a little bit of mix between the vendors that moves it around a little bit, but it's fairly in-line. 
Brian Harbour: Okay. Thank you.
Operator: Our next question comes from Max Rakhlenko from Cowen and Company. Please go ahead.
Max Rakhlenko: Great. Thanks a lot. So, first, with the increase in Black Card pricing, what is your outlook of what the lift to comps will be? Do you think it's going to look similar to the previous time that you've raised the pricing by $2?
Tom Fitzgerald: Yes. So, I think what's happened historically, as you know Max, we raised the price back in 2017 by $2 and then a $1 in 2019. And in those times, what we've seen is – and what we saw in the test by the way is initially the Black Card acquisition will be relatively flat sequentially, but the Black Card member penetration or the Black Card mix of membership still grows year-on, still grew year-on-year. And that's what we expect will happen this year and we talked about; you know this past quarter we had 180 basis point improvement in Black Card penetration to 63. So, we expect the same, kind of result now. It is a little different in terms of the impact to same store sales because as you know it's only on the new joins. And given the rest of the year, and the size of our membership base, that impact will be muted, but certainly will be accretive in the subsequent years in a more significant way.
Max Rakhlenko: Great. That's helpful. And then just quick follow, what is your sense of when we could see the members per gym return to 2019 levels? I think you said 30% of your mature gyms have already come back. So, just curious your thoughts on the rest of the fleet. Thanks.
Tom Fitzgerald: Okay, I'll start maybe. I think if you look at, when we look at mature stores really the best barometer as we think about it is, if we take the calendar year 2018 and prior stores, and those stores in the aggregate are that's the group that has 30% of their membership is back to pre-COVID levels and they're down about 6% overall. So, I think as we think about the same store sales growth, member growth, it's just a matter of time for each and every quarter. Each subsequent quarter for more and more stores to get back to that pre-COVID membership level. And again, it's a when question, not an if question in our mind.
Operator: Our next question comes from Sharon Zackfia from William Blair. Sharon, please go ahead. 
Sharon Zackfia: Hi, good morning. I guess a question on the marketing. So, I know the fourth quarter call, you kind of thought Omicron and the marketing shift both contributed to January. I mean, as you have gone throughout the last three months subsequent to January, I mean, how big of a factor was the marketing shift that you did? I know, you kind of re-expanded to the three agencies that you mentioned, but trying to get some color there. And then on attrition, are you seeing any difference in attrition at this point, relative to pre-pandemic? I'm wondering if maybe it's even a bit better because you've got, kind of, I guess, a Darwinian element, where the folks who maybe weren't using the clubs that much, you know, have dropped out over the past few years?
Chris Rondeau: Yes, right now we're still about, we're typically pre-COVID, about 50% of our members would use a store in a 30-day period. Today that number [shines] [ph] about 40%. So that's still about the same as it was most of last year. Of the ones using it though, we are using it more than previous pre-COVID. So, the ones that are using are using more and attrition, you're right, our attrition is slightly better, just slightly, but it's slightly better to pre-COVID right now, which is a great sign. As far as the marketing question, I think most of it was Omicron related because even we look at the February and March numbers that net member growth is even better than February and March of 2019. So, and we had the same agency going on at that point too, right. So, I think it was more, probably more Omicron-related although by some marketing impact as well, but Omicron really the first two weeks of January really was impacted [indiscernible]. Even by end of January it changed pretty drastically believe it or not.
Sharon Zackfia: That's really helpful. And then I guess the market is very concerned obviously about a recession. Can you talk about your franchisee enthusiasm and whether any of this macro talk is starting to, kind of concern franchisees and potentially dampen their appetite to accelerate expansion?
Chris Rondeau: No, I think, many of them luckily have been with us for since the beginning here when we started franchising in 2003. So, they've been through 2009 or 2010 areas as well, which probably doesn't look like as severe as this might be, but – and they saw their same store sales even in that period. So, I think they're watching it naturally as we all are. I think they realize that the business is fine. It's probably more of the increase in build-out costs and so, but even within the build-out cost we're seeing today, the [unit] [ph] is still quite, so profitable that it's – at the end of the day, it still can, you know whether that storm and data to make it exciting to build stores even under that environment. I don’t know if Tom will add?
Tom Fitzgerald: Hey, Sharon, I'll just maybe build on Chris’ answer. I think the other piece that's happening in our business is, there's a fair amount of larger franchisees who were taking some chips off the table and either the old, the prior private equity firm is rolling out and a new one is rolling, but there's a lot of appetite from outside the system to come in, and there's a fair amount of activity. So, when those businesses change hands as we've talked about, the owners and operators stay and role, and there's new money coming in who's looking to develop pretty aggressively and typically more so than the prior group would. So, that bodes well, but I think to Chris’ point, there's been no, I think no hesitation and if anything maybe, more money coming in was going to put us to work.
Sharon Zackfia: Okay, great. Thank you.
Chris Rondeau: Thanks Sharon.
Operator: Our next question is from Simeon Siegel from BMO Capital Markets. Please go ahead. 
Simeon Siegel: Thanks. Hey guys, hope you’re all doing well? I think you grew franchise EBITDA dollars more than you grew the franchise sales this quarter. So, just any change to how you're thinking about underlying franchise segment EBITDA rates? Just basically, I guess speaking to what the right margin level should be as we normalize from the pandemic costs. And then, could you elaborate a little bit more on the – congrats on New Zealand, could you just elaborate a little bit more and how we should think about your broader international growth opportunity and focus as we look further up? And then if there's any differences in expected international economics? Thanks a lot.
Tom Fitzgerald: Yes, Hey Simeon, it's Tom. On the margin question for franchise, last year we had a fair amount of marketing we were doing to help certain franchisees in certain states get reopened or upon reopening to put a little bit more money in their marketing activity. So, we didn't repeat that this year. So, it's a cost last year that depressed margins that this year we didn't repeat. So, this is, I would say more typical of where we see franchise margins going forward.
Chris Rondeau: I think on the international front, as you know, we had Australia, we launched just before COVID-19 hit us, but now they're all reopened and that market performs very well and that group is up and running. New Zealand next door. So, they're going to actually help them a little bit with some support for us as well, get them off the ground. And I think going forward, Asia is definitely something that's on our radar. There's is not any large low cost competitor to speak of for that much over there, compared to Europe as many of them. Where in Europe, I think going there might be more of an acquisition strategy, if and when we went there just because it's, you've got many chains over there that have north of 500 locations each, and a couple of – one or more of a thousand. So, I'm not sure if you go there and open one at a time to compete with that or not, but yes, we’re excited about New Zealand. Mexico, that new ADA we signed last summer. That group is up and running very strong. They’ve opened their first couple of stores here with opening numbers well exceeding a U.S. opening acting much like the original club [indiscernible] that be opened and also the Panama stores which have always opened ahead of what U.S. stores open. South America is very different in the sense that their just, it's like 2% or 3% of the population in those countries have a gym membership. So, it's a huge untapped potential in South America. Banking a little bit different when it comes to the EFT standpoint, how to build numbers that's a little bit tricky down there. If we do the EFT’s we do it in the U.S., although we do take credit cards down there. But all these markets seem to act very similar to the U.S. as far as the model as far as the judgment-free zone came to casual first timers, purples and yellows and all that.
Simeon Siegel: Great. Thanks a lot. Best of luck for rest of the year.
Chris Rondeau: Thanks Simeon.
Operator: Our next question is from John Ivankoe from JPMorgan. Please go ahead. Hi, John, could you please check, your line in on muted.
John Ivankoe: I don't know what happened there. We’ll try it on the speaker. Just looking back on the Black Card, I understand and thank you for reminding us that customers of our Black Card members 2017 and prior still paying 19.99. We've obviously added a lot of functionality of Black Card, a lot more of the network gyms, which I think is the number one reason why they join and the benefit that they use to most of. I guess what is the thought and I guess why haven't you basically normalize the pricing across the system? Do you think there would be any resistance to that customer, that’s obviously gotten a great price for a long time? And if it's possible for me to ask what percentage of your Black Card members still resides at that 19.99 price point?
Tom Fitzgerald: Yeah. I don't have that number, John on top my head as far how I many are still at 19.99, but we've always looked at it as though, yes, there a long time paying loyal number. I have a hard time justifying that I should raise their rates, more I'd probably reward their rate in anything. So, and hopefully longer-term it continues to drive some retention. And we have some members naturally was around for 30 years this year. We have members that have no annual fees even on their memberships. They’ve been around for 20 something years. So, in some ways looking at loyal member, I wouldn't want to, I guess penalize them that way, I'd rather reward them by letting have and keep it for as long as they want to be with us, you know. But normal attrition over time gets people, not average rate continue to grow with people adopting the newer rate and opening more stores up to new rate as well. So, yeah, we wouldn't – in any agreement, we don't have the right to raise them either. So, that's a legal part of that side, but that's kind of how we look at John when it comes to the long standing numbers.
John Ivankoe: Thank you. And then separate topic. Obviously, the marketing function plan has undergone probably more changed than what you would have thought in the last six months when we seem to be making some really good progress on the management of local. So, a couple of questions. Does it still make sense for the brand to consider a shift from local to national? You think that the local national makes sure I understand there’s a contract there clearly, but do you think that is being optimized is point one? And point two, the net CMO that you have, I mean what types of functionality or what types of execution or process what have you, do you think the next CMO and this marketing department can do better as we look for obviously a high profile replacement.
Chris Rondeau: [Indiscernible] I think on the marketing side of things, this first quarter would [indiscernible], and has now we've gone to three, but this is the first time that we began to see data true like marketing mix that the locals were being – the local money was being spent on. Before that we knew what dollars would be in spent, but we really didn't know the tactics. We didn't know how much cable, how much network, what channel they were on, how much FM radio, how much satellite radio, how much [indiscernible]? We didn't have all that data, which the first quarter was the first time we have a start. So, as we get best practices nailed down and as we learn more even the upcoming months and years here from we would have three nailed down on supplying that data. That now then gets us to figure out what is the true right mix to your question. Is it seven and two? Is it three and six? Or is it really does it, get to the point now that it's five and one, right. I mean, it's, we really don't know where it goes, but that's what this data is going to help us determine longer-term to then get the franchisees on board to maybe look at that very differently. So, this is the beginning of that conversation hopefully as we get smarter at how our marketing mix goes. As far as to see most concern, we're 2,200 club strong here, unit potentially here domestically about 4,000, which I think is on a light side of that thing, and now, and then as you've seen, we've gone much more international here in the last couple of years even through Omicron. So, I think we do look further down the road here on what we need of a CMO and his background around those 4,000 units in five more countries down the road. So, I think it's more – in franchising, I think it is hugely important, as well as franchise background and working with franchisees.
John Ivankoe: Understood. Thank you.
Tom Fitzgerald : Thanks, John.
Operator: Our next question is from Jonathan Komp at Baird. Please go ahead.
Jonathan Komp: Hi, thank you. I wanted to follow up on the member trends you're seeing. I know you mentioned February and March above 2019 join levels, do you think there was any, sort of pent-up or delayed demand effect from Omicron and you're trying to think through whether or not looking back to 2019 join trends would be the right way to think about membership trends going forward? And maybe within that, are you seeing any signs that older populations are starting to pick up the activity in terms of the joins? I know you mentioned the usage, but what are you seeing and expect on joins for the older population?
Chris Rondeau: Yes, even the boomers, Hi Jon, it’s Chris. Even the [indiscernible] population, we started to see them, we start to turn the right direction here even Q4 until you see that even though the first part of first quarter was definitely lower with Omicron and the boomers through the entire COVID thing, they've definitely been the ones that have been more skittish along the way. So, the way I am seeing, like I said in my opening remarks, so again in the March they had the highest usage since COVID started. So, when usage is definitely is an appreciating indicator of joins down the road. So, hopefully more people are getting the work-out here as we saw in first quarter towards the tail end of it, hitting all-time high since COVID, you know the joint begin to follow us here. I don't think, you know, I think last year, it wasn't even just a January, it was really almost all the first quarter was suppressed. So, there's a lot of pent-up, and I think demand that we start in second quarter where, I think in this scenario was really probably the first two weeks was suppressed. So, I don't think we'll have quite the pent-up demand that we saw last year just because it wasn't as long, I guess. But I still think, I think the trends are all in the right direction. I think the bricks and mortar, I think the health and wellness, the Gen Z population hasn't led off once since COVID has started and they're coming in and drove and I think they're going to continue to do that even with schools open. They're still doing the same thing. And I think this team, I think [indiscernible] just coming Monday, we’re just getting more brand awareness around even the younger Gen Z for more of that tailwind as well, which I think, it's hard to say exactly how much of the Gen Z that we see today, how much of that is teen summer challenge related from 2019, but it certainly has helped I think brand awareness for their younger population.
Jonathan Komp: Yes, that's really helpful. And then maybe just one follow-up on the franchise economics with the pricing that you recently took, any comment on your thoughts about, sort of franchise economics and cash flow relative to pre-pandemic once that pricing is in place and maybe related to that? Are there any impediments you see today to getting back to that normal, sort of pre-pandemic opening rate still at some point in 2022?
Tom Fitzgerald: Yes. Hey, John. It’s Tom. I'll start that and I think in terms of franchise economics, given the, as I was saying to the earlier question, the new Black Card price will feather in as new members join. So, it won't have a huge impact in the near term, certainly helped in the longer-term. And the reason for the price increase was not necessarily to help franchise economics, who is really, because we're providing so much more value that that's really the driver of our pricing changes, not looking to necessarily go the other way as we think about it. So, I think the economics will definitely improve, but the economics are pretty strong. As I said before, on average any store opened before 2018, in 2018 and prior, the average membership in those stores is in aggregate only down about 6% and you know the economics of our business as that membership in those stores continues to rebound, the flow through was pretty terrific. It's essentially $0.84 on the dollar. So, we don't see anything standing in the way of our franchisees or frankly, our own corporate stores that have still not yet recouped their pre-COVID membership levels and pre-COVID economic margins, our financial margins to get there. It's just a matter of time. And in terms of the outlook, if – we've said we've moved away from the practice during the pandemic of talking about new store openings for the year, and we’re really back to what we used to do before, which is the franchisee placement. And our outlook on that, as you know is, 170 for the year. And if you take, and as you know, that's only franchisee placements where new stores is the whole system, including corporate-owned stores. And if you take the 170 and you add what we would typically open up in our corporate stores pre the Sunshine acquisition, and Sunshine added about 14 stores in 2021. So, combined, the two, now the broader larger corporate store group add that to the 170, you kind of get to where the new store outlook is, if you were doing that math, would get you pretty close to the 200 level. We're not saying that's the number, but if you do the math, you can kind of get in that ballpark. And we've said all along that we think that sometime during 2022, we’ll be on a run rate where we'll be at that 200 plus new store units for the subsequent 12 months. It's just to matter when we get on that pace. And all signs seem to be pointing to that continuing to strengthen as it did across the year last year, we think it will strengthen across the year this year.
Jonathan Komp: That's really encouraging. Thanks again. Best of luck.
Chris Rondeau: Thank you.
Tom Fitzgerald: Thanks, Jon.
Operator: Our next question comes from John Heinbockel from Guggenheim. Please go ahead.
John Heinbockel: So guys, wanted to start with the corporate segment, when you look at the pipeline that Sunshine has, right. So, I guess they may have grown units 13% or 14% last year, do you think that segment can grow faster than the franchise segment over the next several years? One because of Sunshine’s growth, but also two, I assume you think Sunshine can get legacy margins up to where they are? So, you head that and can that segment grow faster for a while?
Tom Fitzgerald: Yes, John, it's Tom. I'll start that one. So, I think one of the, on a pretty solid robust list of what made the Sunshine franchise, Sunshine fitness purchase so attractive was their economics and the economics of their new units. Does it need to grow faster than the broader franchise segment growth? [Still, no] [ph]. I think we don't want to, sort of put the proverbial gun to our head on how many units we want to open in a year. We want to open great sites that have great returns, but we think that, sort of 10% growth is probably in-line and maintaining the 10% penetration in our system is kind of the goal. If that in any given year is up a little bit or down a little bit from 10%, I think we're fine with that, but it is, the pipeline is very robust across all of states they operate in. The margins that they've produced historically have been very consistent across those states. And to your point, if you look at pre-COVID, the mature stores that Sunshine operated versus mature stores that were prior in our corporate portfolio. There was about a 700 basis point gap between what Sunshine stores produced in our corporate clubs. So, we think some of that management talent, some of the practices they have will certainly benefit the – what were prior – the 100 plus prior corporate stores that were operated mostly in the Northeast. So, we think that's another reason why it was such an attractive acquisition opportunity for us as to spread some of those practices. Will they completely close the gap? Time will tell, but there are some structural differences between cost of labor, cost of occupancy in the Northeast versus the Southeast as you know. So, may not close it all the way, but certainly we'll move it in the right direction.
John Heinbockel: Great. And maybe Chris, philosophically on royalty rate, right, what do you think the franchisee appetite would be for higher rates? Is there a ceiling in your mind? And what does it take to get there, right? Is it a restructuring of the marketing spend that gets you there?
Chris Rondeau: Yes, I'd say, you know, I said it in the past, I think until our mature store base, which Tom has said, 30% of them are at or above pre-COVID, I think until we get back to pre-COVID membership and profitability, I wouldn't look to have that conversation just yet. I think I want to make sure that they're all back to where they're accustomed to being and then at that point, as you know same store sales are back and they should be continuing like we were pre-COVID with 53 straight quarters of positive comps. And it's most of its member growth and it's $0.84 to the bottom line of every new member above that. So, continues to drive margin, which then I think gives the ability to raise royalties, right. Longer-term [two] [ph], I think the advertising fees could be the extra bonus that makes it even more palatable right? Because of its – we begin to get more efficient with the marketing dollars. The next 2,000 stores need to spend as much money as the first 2,000 stores marketing wise, right? It gets to a point where it's just, the [indiscernible] too full and you can spend the dollars, we have 4,000 stores. So, but I think as that changes, if we can get more efficient, we can lower the overall marketing spend from 9% call it 8% and we share a little bit in that savings back into royalty, that's another bonus for both of us. So, those two levers are something that I think we will watch pretty closely before we make any determination.
John Heinbockel : Thank you.
Chris Rondeau: Thanks, John.
Operator: Our next question is from Warren Cheng from Evercore. Please go ahead.
Warren Cheng: Hey, good morning guys. It sounds like some of the age cohorts in regions that underperformed in the last few quarters are catching up the company averages, especially the boomers. Is there still a significant gap versus pre-pandemic membership levels for some of these underperforming age groups, because it just seems like Gen Z has outperformed, but numbers per location are still down, I'm just curious the breadth and depth of how depressed we are for this other age groups?
Chris Rondeau: I think first of all, I think boomers, first off, although they are still not back to pre-COVID, and as I mentioned in my opening remarks have now hit all-time usage high since COVID. So, they're not back to pre-COVID, but they're actually starting to hit highs now, which should drive more boomers in the joint. But there's still a pretty small part of our member base overall. If you think about the millennials and Gen Z for example, they make about 60% plus of our membership base as a whole. So, the boomers are a small piece then Gen X’s. Gen X is Number 3. So, the boomers although they had that [indiscernible] it’s not a – they are only about roughly 13% of our member base. So, although we want to have them back, they're not a huge driver of our growth, it's really the younger generations.
Warren Cheng: Got you. Okay. And I also wanted to ask a follow-up to your answer to John's question on the Black Card pricing. So, it sounds like you're pretty committed to maintaining that 19.99 for the pre-COVID Black Card cohorts. And I think you’ve said in the past, the 19.99 entry price point is pretty much off-limits. So, does that mean you're likely to just maintain this pricing architecture, kind of regardless of what’s going on externally other than of course the new Black Card joints?
Chris Rondeau : Yes. I think it's a pretty amazing business model win as you've seen. We almost always advertise $10 a month. And when people walk in the door or go online to see the benefits of the Black Card, 60% of them end up choosing a Black Card membership, which is more than twice the price or 150% more of the price. So, if we are going to get the people off the couch, as I just talked about 40% of our [indiscernible], right? And to get more of those people off the couch, seems counterintuitive to raise the price, right. They're already thinking about how am I going to do this? How do I cancel the membership they're already asking before they join. So, I think lowering the barrier of entry to keep at $10 gives everybody the opportunity to give fitness a try. Had no commitment, right? And really drive the value of the Black Card by perks and more stores and reciprocity and we might have heard my last call and we're now testing or putting in meditation plugs in our Black Cards [already] [ph]. So, we add more value to the Black Card [expiry area] [ph] in the clubs and use that really as the lever to drive overall average ticket. And it's worked for many, many years and I think it continues to allow us to drive member growth. I wish, [indiscernible] over in the past years.
Warren Cheng: Thanks. Very helpful. Good luck.
Chris Rondeau: Thanks Warren.
Operator: Our next question comes from Chris O’Cull from Stifel. Please go ahead.
Patrick Johnson: Great, thanks guys. Good morning. This is Patrick on for Chris. I had a quick clarification question. Tom, can you just remind us of the program you put into placed during the pandemic that allows franchisees to defer equipment replacement? Is that fully expired? And then, are you guys seeing any new supply chain issues on the horizon that might affect the ability to re-equip or have franchisees open new location?
Tom Fitzgerald: Yes, hey Patrick. Thanks. So, yes, so I think what you're referring to is during the pandemic we granted ultimately 18 months on the re-equip obligation and that's all passed. So, it's all – all dates were shifted. There's no catch up here, just whatever date somebody's obligation was in the system moved out accordingly. And all new stores are back on the five-year and seven-year re-equipped cycles or cardio and strength respectively. And we currently do not see any issues with equipment availability. We're in constant contact with our primary suppliers. We don't see anything that would be any cause of concern for equipment availability to support the re-equips for the rest of the year or the new store growth for the rest of the year. Like everybody we’re probably the primary issue that folks are dealing with. Opening new stores is HVAC availability. We’re not immune to that, but are certainly working with the primary suppliers there to see if there are ways that we can position ourselves to make sure that our needs are secured. We don't yet have any concerns to cause us to alter our outlook, but that's the only potential issue. And so far it looks like our team's been able to navigate to position ourselves where there's no risk.
Patrick Johnson: Great. That's really helpful. And then lastly, I just wanted to ask on the effectiveness of the Super Bowl ad campaign, did you guys have any other insights there, other than maybe what you shared last quarter? And then just more broadly, I mean, what has that thought you about the potential to have more premium ad placements and the ability to go after a bigger audience and how much of an impact can you drive to new member sign up trends with sort of those bigger stages that you're not able to access?
Chris Rondeau: Yes, yes. I think it was so much larger than any of our competitors, I think doing big brand moments like the New Year's Eve, and again like the Super Bowl is something that sets us apart from our peers for sure and definitely puts us in a different world with other companies that typically [indiscernible] commercial was just never. So, I think they definitely – with 112 million viewers, it was definitely a good spot to be in with good company for sure. About 40% of people surveyed said they will likely join PF in the next 12 months, so, it's, I think that's a good tailwind from it. And we're doing a brand health study too, hopefully it will come out off of that, which is off of the New Year's eve as well, which can only help us from that. And people would like the commercials. It was 69% positive, what they liked about the commercials. So, I think they're memorable. I think because we had celebrities in them. I think I made better recall, which continue to use here through the first half of the year. So, I think that as well is setting us apart from even our peers as having celebrities in our commercials that definitely caused a lot of recall. So, it's something we’ll probably look to do in the future as well.
Patrick Johnson: Great. Thanks guys.
Chris Rondeau: Thank you.
Tom Fitzgerald: Thanks, Patrick.
Operator: Our last question today comes from Joe Altobello from Raymond James. Please go ahead. 
Martin Mitela: Good morning. This is Martin Mitela for Joe Altobello. Just wondering if we can get an update on unit economics, especially when it comes to labor and equipment costs and commercial real estate as well?
Tom Fitzgerald: Yes. I'll start that one. So, I think in terms of the wage inflation, the good news is, as you've probably heard us talk about, we really have a pretty low labor model. Typically, there's a dozen of 15 people on the roster for any given store, and on the floor at any time there's two, three [indiscernible] people on the floor. So, wage inflation isn't great for anybody. It certainly affects our franchisees as well. I would say, compared to other places where people like our store associates can work, it's a pretty good place to work. You're not going home-smelling like a French Fry or slipping on [Greece] [ph]. It's – you're working in a very cool place, music, and clearly there's a membership servicing involved and cleanliness and standards that we have, but other than that, it's a pretty good gig. And so, I think we fare better than most on some of the surveys about where would you like to work. And I think, in terms of the financial impact, the good news is, it's, as we've modeled it and talked about it with our franchisees, it's pretty temporary. Because once you – assuming wages don't continue to climb at a rate that we've never seen, but if there is a bit of a one-time reset and then gradual wage inflation after that, our same store sales growth that we've had historically pre-COVID 53 straight quarters are positive same store sales that averaged across those quarters 12% most of that being member growth and as we've talked about, there's not really any cost that gets added if your store increases its membership from 6,500 to 7,500 members. You don't really add any more cost. So, it all flows to the bottom line, which in a pretty short order would offset the margin impact. Certainly dollar is faster than margin percentage, but both would be offset in a relatively short period of time. Equipment costs are higher for sure. They’re up about low double digit depending on the supplier and whether it's strength or cardio versus pre-COVID, but – and we've talked about typically the cost of putting in new equipment in a club would be around 600,000 pre-COVID, so bump that up and [plus percent] [ph]. It doesn't take a decision to build a store from a yes to a no. It may take the pretty strong returns down a couple hundred basis points, but it's not a meaningful change to cause somebody to decide not to build a store that they wanted to build. And again, as we've said, our franchisees are typically on or ahead of their development schedules, which is a real testament to the returns that they get from building new stores. And lastly, in terms of occupancy rates, we haven't heard that those are changing dramatically. They're pretty sticky, I think even through COVID they didn't really go down much, maybe landlords’ got a little bit more aggressive with tenant allowances to ease the initial cost of opening a new location and we continue to hear that and see that in our own corporate clubs, but haven't really seen or heard any dramatic change in occupancy rates on a per foot basis across the markets.
Martin Mitela: Great. Thank you. That’s super helpful. Just one last follow-up question. You mentioned about 25% of gyms all across the U.S. are permanently closed, are you seeing a significant number of those members migrate to Planet, and also are you seeing, sort of the workers there migrate over to Planet as well and you're getting a little bit more experienced workers there?
Chris Rondeau: I haven't seen any – this is of this Chris. I haven't seen any of the employee side of things. In the first quarter about 1% of our joins were coming from closed competition. Typically with the closed competition just to put a little bit into context that, about 25% of gyms are permanently closed. It's made up of about 30% of boutiques, which is yoga studios and [indiscernible] studios, which typically have 200 members a store. So, it's not like we have a 5,000 member store across street closing, right? And then of the gym population, about 14% of gyms have closed. And the typical gym in the U.S. outside of Planet, for example is about [1,240 members] [ph]. So, and if they're closing they’d probably have less than that because they’re not successful. So, it's not we – likely have a bunch of these 5,000 member gyms around the country closing. So, yes, there is a market share to grab for sure, but not quite as large as you would probably see when are you looking at about 25%. I really look at it though as the longer-term benefit of month over a month over a month of people looking to join a club for the first time or join a club period that they are just less placed, the shop does less advertising from competitors is less everything except for Planet. So, it's more, I think longer-term gain then a one-time shot in the arm that you would think of.
Martin Mitela: Thank you very much.
Chris Rondeau: Great. Thank you, Martin.
Operator: As this was the last scheduled question, I will hand the floor back to the team to conclude.
Chris Rondeau: Great. Thank you. Everyone, thank you for joining us today. It was an exciting quarter for us. Happy to see that people are driving back to bricks and mortar as we expected and really proud of our, [a million] [ph] net member growth for the first quarter. I'm actually on my way to Boca for tomorrow to speak as our [independent franchise counselor] [ph] has invited to speak to the franchisees. They're excited that all get together and talk about our future together.  And next Monday launching high schools in the past giving all our teams throughout the U.S., in Canada a place to work-out for free, blow off some steam and hopefully introduce them to fitness for the first time. So, good stuff to come and have a good summer. Thank you.
Operator: This concludes today's conference call. Thank you very much for joining. You may now disconnect your lines.